Operator: Good morning, everyone, and welcome to the Delta Air Lines March Quarter 2025 Conference Call. My name is Matthew, and I'll be your coordinator. At this time all participants are in a listen-only mode until we conduct a question-and-answer session following the presentation. As a reminder, today's call is being recorded. [Operator Instructions] I would now like to turn the conference over to Julie Stewart, Vice President of Investor Relations. Please go ahead.
Julie Stewart: Thank you, Matthew. Good morning everyone, and thank you for joining us. On today's call, we will hear from our CEO, Ed Bastian; our President, Glen Hauenstein; and our CFO, Dan Janki. Ed will open the call with an overview of Delta's performance and strategy, Glen will provide an update on the revenue environment and Dan will discuss costs and our balance sheet. After the prepared remarks, we will take analyst questions. We please ask that you limit yourself to one question and a brief follow-up, so we can get to as many of you as possible. After the analyst Q&A, we'll move to our media questions. Today's discussion contains forward-looking statements that represent our beliefs or expectations about future events. All forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. Some of the factors that may cause such differences are described in Delta's SEC filings. We'll also discuss non-GAAP financial measures, and all results exclude special items unless otherwise noted. You can find a reconciliation of our non-GAAP measures on the IR's website at ir.delta.com. And with that, I'll turn the call over to Ed.
Ed Bastian: Well, thank you, Julie. Good morning, everyone. We appreciate you joining us today. Earlier this morning, we reported our first quarter results, posting pre-tax earnings of $382 million or $0.46 per share, which is flat to last year. Revenue was 3.3% higher than prior year, a new record for the March quarter, and operating margin was approximately 5%. We delivered free cash flow of $1.3 billion and a double-digit return on invested capital. Despite a choppy start to the year, I'm proud of our team for delivering a solid profitability and strong returns that are expected to lead our industry. Operationally, we delivered leading on-time performance and system completion factor among our network peers. I would like to thank our people for their outstanding performance and hard work during the quarter, especially with the severe weather that we experienced across the country at the start of the year. The Delta people will always be our #1 competitive advantage and sharing our success is essential to our culture and our values. In February, we celebrated their well-earned profit-sharing payout of $1.4 billion, recognizing 2024s performance. Fortune Magazine recently recognized our people-first culture, ranking Delta the #15 company on their list of the 100 best companies to work for. Turning to demand and consistent with our update last month, February and March reflected a much more challenging macro environment than anyone initially planned for. Coming into 2025, we are positioned for another year of strong growth. However, given broad economic uncertainty around global trade, growth has largely stalled. The impact has been most pronounced in domestic and specifically in the Main Cabin, with softness in both consumer and corporate travel. While not immune in this environment, we do continue to see greater resilience in international and our diversified revenue streams, including Premium and Loyalty, reflecting underlying strength of our core consumer. In this uncertain environment, our focus is taking action on those areas we can control, protecting margins and free cash flow. Our largest cost and lever is capacity, and we are making plans to keep our second-half capacity growth flat over last year, with domestic Main Cabin seats declining as we align supply to demand. Cost management remains an important tool to protect margins, and we are aggressively managing our cost base to reflect the lower level of flying and deliver on our commitment of low single-digit growth in nonfuel unit cost. And as always, the best way to ensure efficient and effective cost management is to lever Delta's world-class reliability and premium service to our customers, at which our people are the very best in the business. The start of these actions are reflected in our June quarter outlook for double-digit operating margins and pretax income of $1.5 billion to $2 billion on revenue that is essentially flat to last year. Given the broad macro uncertainty, it is premature to project the full year, so we are not providing an updated full-year outlook at this time. However, with the actions we are taking and where fuel prices currently sit, Delta is well positioned to deliver solid profitability and meaningful cash flow in 2025. Over the last 15 years, we've worked to diversify our business and differentiate ourselves from the industry. During periods of heightened uncertainty, our differentiators and structural advantages become even more apparent, helping to insulate our business and create durability in our financial performance. No matter the environment, we manage our business for margins, cash flow and returns. And with our bias to action and our position of strength, I expect our financial results will continue to lead the industry. And this year, proved to be another validation of our strategy, as we create differentiation and demonstrate financial durability. Thank you again for joining us. And with that, let me turn the call over to Glen and Dan to go through the details of the quarter and outlook and the actions that we are taking.
Glen Hauenstein: Thank you, Ed, and good morning. I want to start by thanking our employees for providing the best service and reliability in the industry to our customers every single day. March quarter revenue was $13 billion, 3.3% higher than last year, with unit revenues declining 1%. January unit revenue growth was solidly positive and in-line with our expectations. As consumers and business confidence moderated, unit revenue trends stepped down in February and again in March, with stabilization as we exited the quarter. Through the quarter, diverse high-margin revenue streams showed resilience, growing at mid-single digits year-on-year to reach nearly 60% of total revenue. Premium and loyalty revenue were both up approximately 7% over prior year. Remuneration from American Express grew 13% to $2 billion, driven by co-brand spend and acquisitions. Revenue from our travel products portfolio grew by 7%. Cargo revenue increased 17% year-over-year on higher yields and double-digit volume growth and MRO revenue grew 7% on heavier engine workscopes. From a geographic perspective, domestic revenue grew 1%, impacted by demand softness in the main cabin. International revenue growth was 7% on solidly positive unit revenue over prior year. Transatlantic revenue grew 5% with unit revenue strength driven by premium products and network optimization. Pacific also performed well, up 16% year-over-year with modestly positive unit revenue growth on double-digit capacity growth, driven by strong demand to Japan and into Seoul as our partnership with Korean Airlines matures. Latin grew revenue 5% on modestly negative unit revenue and now turning to our June quarter outlook. Given the recency of last week's policy changes and market moves, it is early to assess the impact on consumer and corporate travel demand. For the June quarter, we expect 2Q revenue to be down 2% to up 2% over prior year. Consumers remain cautious and corporate travel trends are choppy with overall corporate volumes currently expected to be flattish over last year, similar to what we saw in March. Main Cabin demand softness in both domestic and international is persisting, particularly in off-peak times. Premium, Loyalty and International are continuing to show greater resilience. Internationally, approximately 80% of revenues are U.S. point of origin with bookings remaining strong for the peak summer period. The strength of our brand and quality of our offering are enabling us to drive strong load factors, attract new SkyMiles members and continue to grow our valuable American Express co-brand program. With more moderate demand growth, we are reducing expected capacity growth in the second half of the year to flat over last year to align supply with demand and optimize margins in this environment. We are prudently using our available levers to efficiently manage where and how we fly, focusing on where we have seen the most weakness. With these changes, our main cabin seat growth will be down year-over-year in the second half. At the same time, we are executing on our multi-year commercial priorities outlined at our November Investor Day that support our long-term margin expansion by continuing to make the right investments in the customer experience and diversify our revenue stream. Yesterday, we announced a significant milestone for our maintenance, repair and overhaul business with a 10-year agreement with UPS. This is an exciting win for our MRO team and supports long-term revenue diversification and growth. In closing, while this year has started differently than we expected, we are taking action and leveraging our advantages while staying true to our long-term strategy. And with that, I'll turn it over to Dan to talk about the financials.
Dan Janki: Thank you, Glen, and good morning to everyone. For the March quarter, we delivered pretax income of $382 million with an operating margin of 4.6%. Earnings of $0.46 per share were flat to last year despite a more challenging macro environment than we anticipated as we started the year. Nonfuel unit costs were up 2.6% over last year, was better than our initial expectations and roughly 1 point better sequentially, display elevated winter weather early in the quarter, as the teams continue to deliver on efficiency. Fuel prices were $2.45 per gallon, approximately $0.03 higher than our initial expectations, including breakeven contribution from the refinery. We generated free cash flow of $1.3 billion, after paying $1.4 billion in profit share to our employees and investing $1.2 billion back into the business. On debt, we repaid $530 million, ending the quarter with gross leverage of 2.6 times. Recognizing the strength of our investment-grade balance sheet, Moody's further upgraded Delta's rating during the quarter, our third credit upgrade in eight months representing Delta's highest credit quality in decades. Moving to the outlook. For the June quarter, we expect an operating margin of 11% to 14% and earnings of $1.70 to $2.30 per share. Nonfuel unit cost growth in the June quarter is expected to be up low single digit year-over-year with performance similar to the March quarter. As we reduce expected capacity growth this year, we are managing our cost base to deliver on our long-term target of up low single-digit nonfuel unit cost growth. On the fleet, we now expect our net aircraft additions this year to be less than 1%, with 10 or fewer incremental aircraft, as we manage both retirement and deliveries. Lower growth and accelerate aircraft retirements will drive incremental maintenance savings. Additionally, we are adjusting plans around our workforce and supplier base to align to lower growth levels. For the full year, we now expect our workforce to be below levels of last year on natural attrition. While it's still early and there is much to play out for the year, we continue to adjust to the evolving environment by aligning supply and demand and managing our cost to protect margins and cash flow. Durable cash flow is an important differentiator for Delta. It enables us to derisk the business by further fortifying our balance sheet and growing unencumbered assets to the highest level in our history. We continue to expect to repay at least $3 billion of debt this year, and we'll be opportunistic on our highest cost debt through repayments or refinancing. In closing, Delta's decade-plus commitment to our consistent strategy, investment and execution has created a differentiated and durable business that positions us to navigate periods of uncertainty. Over the medium to long-term, we continue to see secular tailwinds for our industry and are confident in delivering on our three-year to five-year financial framework. And with that, I'll turn it back to Julie for Q&A.
Julie Stewart: Thank you, Dan. Matthew can you please remind the analysts how to queue-up for a question and then go to our first analyst question from Conor Cunningham at Melius Research.
Operator: Certainly. At this time we conducting a question-and-answer session. [Operator Instructions] Once again, your first question is coming from Conor Cunningham from Melius Research. Your line is live.
Conor Cunningham : Hi, everyone. Thank you. I was hoping you could provide some context just to the high and the low end of the guidance in the second quarter. Glen, you mentioned stabilizing transecting the quarter, but then noticed noted the policy changes. So we're just trying to figure out how the weakness you're seeing in the price-sensitive U.S. domestic market, it doesn't eventually bleed over to International and Premium, as you guys highlighted those areas of strike. Thank you.
Glen Hauenstein : Well, Conor, I think that's something we are all watching very closely. We know that approximately $5 trillion of wealth has been wiped-off the books, but we are still about $32 billion higher than we were in 2019 in terms of the affluent cohorts wealth factor. So while we are watching closely, we haven't seen it yet, and we continue to see strong cash sales and continue to see strong cash sales for long-haul travel as well. So -- but we are cognizant of what's going on in the marketplace, and we're keeping a close eye on demand closer than we've ever looked before.
Conor Cunningham : Okay. And then bigger picture, does the slowdown change your view just on the long-term industry structure? Just trying to understand how your conviction level has changed with demand weakening? And just if your priorities are shifting at all as you look like over the next couple of years? Thank you.
Ed Bastian : Thanks, Conor, this is Ed. I'll take that. obviously, in this environment, there is not a lot you can say in the next year or two without having some better clarity as to how the tariff skirmishes end up. But what I can tell you is that for the last 20 years every time that we've had any level of economic dislocation, Delta has been advantaged. Delta has done the right things a step forward has been opportunistic. And if you compare where Delta was 20 years ago to where Delta is today, there is no comparison. So I would anticipate there will be opportunities during this bump in the road. We are not quite sure how long it's going to be, but I'm confident that it's not going to be elongated. And you can expect that the strong will get stronger.
Operator: Thank you. Your next question is coming from Andrew Didora from Bank of America. Your line is live.
Andrew Didora : Hi, good morning, everyone. Maybe first question, just kind of a few quick ones here just on the capacity cuts that you talked about. I guess first, when we look at the 2Q schedules, are those set right now? Should we expect any changes there? And then second, just on the back half cuts, should those start over the summer? Or is this something that you are thinking about kind of post Labor Day? And any color you can give geographically would be helpful as well. Thank you.
Glen Hauenstein: Well, we are working through these cuts as we speak. And I think what we would say is that 2Q is largely intact, there may be some trimming around the edges, but largely intact. 3Q, we have a very different disparity in terms of what is traveling post August 15. With the South continuing to go back to school earlier and earlier and with Florida being a big component of our network, August demands are much lower and August is no longer a peak month for Delta's travel. So we will be trimming starting in August and moving through the rest of the year, not waiting for Labor Day. And those trims in August will be concentrated in the Southeast where the schools go back earlier. Other than that, I think that's all the color we are going to give right now other than to say that we are monitoring this every day, and we're going to take out capacity that has high recapture and that will improve our profitability and our margins moving forward.
Andrew Didora : Great. That's helpful, Glen. And then maybe as a follow-up, kind of in a recessionary environment, can you maybe talk to maybe how the different demand cohorts have performed maybe Corporate Premium, Main Cabin, International. I know every downturn is different, but what have you learned from history? Thank you.
Glen Hauenstein : I'm going to take this one as well. I don't think we've ever had premium as a larger percent of our total revenues as we do right now, as I've expressed in our comments today. What I have been impressed by through everything as we continue to develop and widen the aperture on our ability to sell those tickets, that it has proved more resilient through more, currently, it’s sitting very resilient. And so while parts of our business right now are challenged, and they're mostly on the Main Cabin lower end, we have not seen any cracks yet in the Premium. And we're hopeful again, we are going to go through this together, that those stay more resilient as we've offered more ways for people to get in the front cabin than ever, whether or not you use base fares and miles, whether or not you use miles themselves and the intent to repurchase is so high on those, we don't see people downgrading even in a recessionary environment.
Operator: Thank you. Your next question is coming from Catherine O'Brien from Goldman Sachs. Your line is now live.
Catherine O’Brien: Good morning, everyone. Thanks for the time. My first question is for Dan. So you're cutting capacity in the back half and based on 1Q actual and 2Q schedule, give or take, I think that means you'll increase capacity closer to 2% this year. So about 1-point below the low end of your initial guide makes a lot of sense, given the uncertainty. But you are maintaining your CASM-Ex outlook. You called out attrition and maintenance in your prepared remarks, but can you just give us some examples of where you have the ability to get cost out of the system this year?
Dan Janki: Yes. As you go out and you look at capacity, we are always looking where Glen and the commercial team want to go where there is demand softness, but we are also looking at where our highest cost capacity is. So immediately, the first things are your direct flying cost related to your crews and those items come out as you take the flying out. You also look at your maintenance cycles where those come out, but also the timing of maintenance, which ones might be heavier, which ones may not be. As it relates to airport operations, both with the Delta workforce and the contracted workforce, it's about lining labor hours to that new volume level, wherever that may be, whether it's within the day or within the hour of the day, you've got to adjust that appropriately associated with it. And we will continue to -- we have a supplier base that you are more aggressive in this environment of lower growth, no growth to really go after that and all the support activity across the company. You look at how do you also continue to find that nonvalue-added cost, you manage the workforce appropriately and there is discretionary spend in there where we have options to manage it, and it is line item by line item. So all those give us the confidence that as we take out the capacity, we will go after the incremental cost.
Ed Bastian: And Catie, this is Ed. One other thing I'd add to Dan's comments is that we are announcing and making this decision now, so that we have several months to make sure we get ahead of scheduling. [Technical Difficulty].
Operator: Ladies and gentlemen, please remain on the line. We'll reconnect the speaker to the conference room. Once again, ladies and gentlemen, please remain on the line, we'll reconnect the speaker to the conference room. And the speaker's line is now reconnected to the conference room. Your line is live.
Julie Stewart: Matthew, we can now go to our next analyst question Duane Pfennigwerth from Evercore.
Operator: Certainly. And Duane, your line is live.
Duane Pfennigwerth : Hi, thanks. Just on the capacity cuts, maybe you've touched on this, but what regions, if you had to guess now, will you be most focused on? And what fleet types as we think about maybe retirements would you be most focused on?
Glen Hauenstein : Most focus on domestic main cabin in -- off-peak time channels for domestic Main Cabin. This would be our first line of defense. Then again, accelerating retirements on the older airplanes.
Dan Janki : Consistent to what we've been doing, the [75s, you'll see, 76s] (ph) is in some of the older 319s, 320s.
Duane Pfennigwerth : Okay. And then on loyalty, if you can disaggregate that a little bit for us, kind of on a same-store sales basis, how are you seeing card spend? And how much of the double-digit growth is being driven by card growth versus card spend in the current environment? Thanks for taking the questions.
Glen Hauenstein : Good one. Most of it is driven by spend growth. Acquisitions accounts for probably three to four points of the double-digit improvement. But the vast majority is due from existing card members spending more on our cards. And what's exciting about that is even through. We have the swipes up through yesterday, and they seem to be holding up. So we don't have the revenue associated with it, but the transaction numbers are still remaining at these elevated levels. So, hopefully, that stays intact as well.
Duane Pfennigwerth : Thank you.
Operator: Your next question is coming from Mike Linenberg from Deutsche Bank. Your line is live.
Mike Linenberg : Hi, good morning. I got two here for Glen. Glen, can you just talk about how bookings have trended over the last week or so, presumably, they took a hit. And are you actually seeing a notable increase in cancellations? Tickets that have been booked where maybe people are backing away.
Glen Hauenstein : Yes. I would say, initially, we had a drop-off, but it was really only for a single day or 1.5 days. We're back to -- as today, yesterday, sales were above last year's level. So I think we are seeing close-in strength. And last year, this time of the year was the week after Easter. So the baseline was pretty high. So haven't really seen the impact to cash sales yet, but again watching like an eagle on all this to see if the trends trail-off. And reruns no significant increase in refunds.
Mike Linenberg : Okay. Good. And then just as you think about the booking curve and maybe how it could potentially shift sort of two things on that. One, how much of say, Transatlantic is on the books for, say, summer, right? Or maybe I should ask international more broadly. And last quarter, or I'd say earlier this -- in the March quarter, you made some tweaks to how you price the lung, the booking curve given the fact that you weren't seeing strength close in, are you seeing an improvement from some of those changes that you made on the pricing side? Or is it still work in progress? Thanks for taking my questions.
Glen Hauenstein : Sure. Well, I think those are -- those are really the same question in different ways because, yes, the booking curve has changed, and it is moved further out, which is what left us when it did that in February, March, which was what left us with empty seats at the end of the curve. So we did reposition to take more bookings earlier in the process so that we could mitigate the close-in demand weakness. And we effectively went into April after going into February and March intentionally a couple of points behind. We entered April slightly ahead. We would like to improve that as we move into May, June and July. So we are continuing to have a load factor bias right now until we get to the lowest to where we want them to be. But yes, we are in process of correcting that yield -- I mean, the booking curve changes.
Julie Stewart: International on the books.
Glen Hauenstein : And international on the books, April is well over 90%. May is in the 80s, June is in the 70s and so International is well booked for the early part of the summer and -- spring.
Mike Linenberg: Great. Thank you.
Operator: Thank you. Your next question is coming from Tom Fitzgerald from TD Cowen. Your line is live.
Tom Fitzgerald : Hi, thanks so much for the time. There is a debate about trade down in this environment and I think the low-cost carriers often say that -- that they should see a share gains. But I feel like given your evolution with revenue segmentation, and the carrot and stick that you have with the loyalty program and the global network, I feel like Delta and other legacy carriers are better positioned for the retained share in this environment, but I'd let to get your view on trade down on the broader competitive environment in the demand flow now?
Glen Hauenstein : We are very excited because our brand is so strong, and demand for Delta is very high. And so when we have seats that become available at the lower-end, I think we have what we call first call on those customers. And so as we think about that, that probably puts more pressure at the bottom-end carriers than you would think at the surface. So we will run full. We might run and as we did even through the great recession, but we might run at slightly lower yields, which I think puts a lot of pressure on them.
Tom Fitzgerald : Absolutely helpful. Thanks so much. And then just as a follow-up, I love to get your perspective on the risk that the tariffs can have in your cost structure. You have a big Airbus order book, but -- you called out the champagne partnership today. I'm just also curious on the food and the catering side, maybe on spare parts within tech ops, but then any color there and how investors should be thinking about how you manage that risk? Thanks again for the time.
Dan Janki : Thank you for that. As it relates to -- when you think about our procured supply base, right, it's about $20 billion in total. And about 85% of that is service related. Only the mid-teens is related to goods. And the predominant amount of those goods are actually sourced in the U.S. directly. We are mindful of second and third tier supply bases that we'll have to manage, and the teams will actively manage those.
Operator: Thank you. Your next question is coming from Savi Syth from Raymond James. Your line is live.
Savi Syth : Hi, good morning. I wanted to get to a step back and just on the revenue expectations in the guide for the second quarter. Could you talk about like how you're thinking about the four entities that what's reflected in that guide?
Glen Hauenstein : Sure. I think the largest weakness, as we've talked about is in domestic, and it is in domestic main cabin. Atlantic and particularly the Pacific is looking very strong into June. We'll see what happens with these new tariffs to China, but that's -- China is a small part of our Pacific Transpacific. And Latin is looking as expected. So it fluctuates from positive to negative throughout the quarter, but it is still hanging in there quite well. So I think where we sit today, international continues to be a point of strength for us relative to domestic.
Savi Syth : Got it. So just to clarify, so maybe domestic getting a little weaker and the rest is similar. And I'm kind of curious, as you talk about more expensive capacity. Does that mean you kind of see more regional capacity cuts in the second half as well? Or am I kind of reading into that incorrectly?
Glen Hauenstein : I think we are going to eliminate unprofitable flying wherever that is. And so when we eliminate unprofitable flying, we'll associate that with what type of airplanes is on and what type of flying it is. And as we said in our comments, we think that off-peak is going to have a disproportionate hit to peak day flying.
Savi Syth : Got it. All right. Thank you.
Operator: Thank you. Your next question is coming from Tom Wadewitz from UBS. Your line is live.
Tom Wadewitz : Yes. Good morning. I wanted to ask you a little more on international. And I guess, what you've seen perhaps in Canada, U.S., and if you've seen something Mexico, U.S., that how have those markets played out, I guess the kind of bad news on tariffs came a bit earlier than April 2 with the kind of really high tariffs on the broader world. Can you tell us what you've seen on that? And does that inform what you think could be the risk looking forward on transatlantic? So that's the first question.
Glen Hauenstein : Yes. In Canada, we have seen a significant drop-off in bookings. In Mexico, it is kind of a mixed bag. Some of the markets are performing better, some are performing worse. I think there is a lot of pressure on VFR more than business traffic to Mexico right now. So we are navigating through those waters. And I think we will be looking at Canada and Mexico as places that we probably want to reduce our capacity levels as we move forward.
Tom Wadewitz : And how do you think about the risk for transatlantic? I know you skew pretty heavily towards U.S. point of sale. If that continues to be strong, but Europeans traveling to the U.S. fall off meaningfully. So I guess that would affect your partner or the European airlines, but presumably, that would negatively affect the market as well to supply demand. So how do you think about that if it's kind of one side of the equation falls off more sharply in the U.S. point of sale is strong. How does that affect international? Thank you.
Glen Hauenstein : Well, One of the reasons we've biased towards U.S. point of origin is because the fares that we have been getting historically out of the U.S. are significantly higher than they are out of the rest of world. So over time, we've continued to push the percentage of sales that come onshore to where we sit about 80% of our long-haul international now is onshore U.S. We have not seen yet a crack in rest of world to the United States, and we're mindful that, that could happen, but we haven't seen it yet. But that only represents about 20% of our international point-of-sale revenues.
Tom Wadewitz: Okay, great. Thank you.
Operator: Thank you. Your next question is coming from Sheila Kahyaoglu from Jefferies. Your line is live.
Sheila Kahyaoglu : Thank you. Good morning, everyone. I want to ask two questions. The first on corporate, Delta is always on top of corporate demand surveys. So obviously, you talked about some of that changing. Maybe can you talk about how much risk there is given or just getting back to pre-pandemic levels in the corporate? And why corporate flowed? Was it just the volatility or are they actually cost cutting? And if you want to talk about industries.
Glen Hauenstein : I'm going to let Ed talk about his perception of how U.S. industry is dealing with this. What we have seen is that some of the sectors that have been impacted like auto have taken a disproportionate hit and so when you think about the entirety of our portfolio being roughly flat year-over-year, there are banking tech being up offset by some of the more industrial companies that have been impacted on the front-end of these tariffs being down more to get you to a kind of flattish. And I'll let Ed upon -- on how he thinks CEOs are thinking about this.
Ed Bastian : Well, Sheila in a period of maximum or potentially maximum uncertainty all companies do what they can to make sure they protect their future. And Delta is doing that, as we said, whether it's reducing capacity or finding other ways to save cash and protect our margins. Historically, corporate travel has been the first thing, one of the easiest things to minimize if you are a company. Encouragingly, it hasn't gone negative. It's just -- it's flat on a year-over-year basis. So there's about a 10-point velocity rate change from where we were at the beginning of the year to where we are now, which is flat. And I think a lot of companies are trying to figure out what the future is. If we continue on in this elongated sense of uncertainty, no question you'll see continued reductions in corporate travel. But I think it is premature to project too far ahead at this time.
Sheila Kahyaoglu : Got it. And maybe one for Dan. Dan, what do you need to see your flat capacity in the second half? What do you need to see to actually have reduced your fleet and increase your retirement?
Dan Janki : The -- with flat capacity, I talked about it a little bit in the prepared remarks, we are taking down our view from where we started the year, as it relates to net additions. And that's both managing the retirement side of it and also being mindful of the CapEx and cash side of it as it relates to additions to the fleet, and we'll be under 10. So when you think about less than 10 additions in a fleet that's 1,300, you've got less than 1% net addition growth. So when we look at that and we look at retirements, we've always talked about we'd operate in this range of 20% to 30%, I think we'll be at 30%, probably above maybe here, as it relates to retirement and we tie that back to where we are flying the -- as Glen talked about, the profitability of that flying, where's the ones that are the -- that we can get at that are money-losing that tied both to the commercial side, but also have costs associated with them so that we focus on margins.
Sheila Kahyaoglu: Got it. Thank you.
Operator: Thank you. Your next question is coming from David Vernon from Bernstein. Your line is live.
David Vernon : Hi, good afternoon. And thanks for taking my questions. So Dan, when you think about the CapEx budget going forward, how should we be thinking about the impact of tariffs on new deliveries and what that might kind of do in terms of your appetite to maybe defer some aircraft that might be coming into the network?
Ed Bastian : Hi, David, this is Ed. Let me take that. Obviously in this environment, we are going to work and we are working very closely with Airbus, which is the only airline we've got deliveries coming from -- for the balance of this year. And they've been a great partner. They are a great partner. We'll do our very best to see what we have to do to minimize tariffs. But the one thing that you need to know we are very clear on is that we will not be paying tariffs on any aircraft deliveries we take. These times are pretty uncertain. And if you start to put a 20% incremental cost on top of an aircraft, it gets very difficult to make that math work. So we've been clear with Airbus on that and we'll work through and see what happens from that.
David Vernon : All right. Thanks. And then maybe, Glen, just as a quick follow-up. When you are thinking about the buy ups that you're seeing between Main Cabin Delta Comfort, is there anything you're seeing in terms of how those are holding up in relation to this downturn in the main cabin? Like I mean, are these -- are the buy ups actually getting a little bit wider right now? Or are you seeing them just kind of stay at the same absolute level? I'm just trying to get a sense for kind of how this new segmentation strategy is actually sort of impact acting in this weaker demand period.
Glen Hauenstein : Right. Well, the Premiums continue to widen the lead over Main Cabin. And so we are expecting the spreads and the yields to actually widen in this next quarter as opposed to converge.
David Vernon : And do you think that's sustainable?
Glen Hauenstein : I don't have a crystal ball on that. I can just report what we are seeing as of today. And what we're seeing as of today is they are not converging, they're separating.
David Vernon : Okay, thank you.
Operator: Thank you. Your next question is coming from Scott Group from Wolfe Research. Your line is live.
Scott Group : Hi, thanks, good morning. So as others expand their premium product and some mix changes like bag fees and things like that. How do you think about the risks and the opportunities that, that presents?
Glen Hauenstein : Well, I think it highlights all the investments we've been making over the last 20 years, whether or not it's the reliability of the airline, whether or not it is the club network we develop, where or not it's the stickiness of our card structure. It is one thing to be able to produce a premium seat, and that's probably the easiest piece of the equation, it is another to get customer loyalty, which is very, very difficult and takes a long period of time and a lot of investment. So I look at our competitive set and saying in a more challenging environment, will they be able to make those types of investments, whether it's free WiFi, whether or not it's club networks, whether or not it's all of those investments that we've made year after year in the last 20 years, it seems to me that they are going to be more constrained in capital than they were probably just even a couple of months ago and trying to get there is going to be more difficult for them, not less difficult, and that will widen our lead. And as people continue to change their products to try and align more with full-service carriers, I think there are opportunities to go after some of their more loyal customers, which we will be taking advantage of as we move through here. We've had some very successful programs that have gotten us a lot of new members in places that other carriers are operating as the largest carrier, but maybe not the one people want to align with.
Scott Group : And then Glen, if you look at historically in a downturn, International can be down more than domestic. And I know there’s been some questions about this, but that's not happening yet. Do you think that's just the longer booking curve for international that you talked about? And this is bound to get worse in the second half of the year, maybe that speaks to the lack of full year uncertainty or do you think there is a reason why international just holds up better this time?
Glen Hauenstein : Well, I'm going to go out on a limb here and say the reason I don't see it right now is that we monitor cash sales by entity every day. And those cash sales that are coming in the door as of yesterday that we are recording today as cash are very strong for international through the summer all the way out to September, October. So we are actually up significantly in transatlantic, for example, in cash sales year-over-year. So you would think that's the first line of – it is not just the booking curve, it's people's intent to travel in the future. So again, uncharted territories, this is kind of I think, what many people are characterizing as a self-imposed issue in terms of uncertainty, and we'll see how it resolves itself. The other thing I would say is that the cohort that is traveling right now has an average age in Delta One in the 60s, which means the baby boomers are traveling. And being a baby boomer, I can say this without fear of retribution, there is only so much time to go to Europe or almost so much time to go see Australia or Japan and so you've got this wealth effect where this cohort of retirees is wealthier than any other cohort even with the most recent rundown and they want to go do things.
Ed Bastian : A couple of things to add to Glen's comments on that, Scott. Since 2019, and we've used this stat several times, our core customer is, in fact, I'd say, not just core, I would say, almost exclusively our customer has household earnings on an annual basis of $100,000 or more which, by the way, represents 40% of U.S. households. So it's not an elitist definition by any means. That group of people is accumulated just since 2019, $35 trillion of overall wealth between their home real estate, market, et cetera. So when you look at where the market has pulled back, say, in the $5 billion to $7 trillion range in recent weeks, that's a huge number, and I understand people concerned what that means to them individually. But on balance, what I think they're going to do is they're going to even further prioritize what they're spending on. And the demand set that we've seen for the last number of years, the desire to experience rather than acquire I think, is going to continue to stay strong. And that's what you see in our booking data, that's what you've seen in our American Express data, that's what you see in the premium product category and that's what Delta is the very best at. So I appreciate we're talking our book a little bit here, and it's early days. We don't -- we know we're not immune to the concerns of the overall economy. But I think this time feels different a bit. And we're going to be very close, as Glen said, in terms of monitoring it. But I do think there is some -- there will be some new learnings coming through this period of time.
Scott Group: Thank you guys.
Glen Hauenstein : And Scott, if I could add one more thing to the very end of that. The other thing we should note that the market effect of the wealth effect of the market trade off, the market is back to where we were a year ago. So it's not as if the market has fallen off a cliff. I mean, none of us feel good about it, but it is where the market was a year ago. And the demand set was very strong then.
Scott Group: Thank you.
Operator: Thank you. Your next question is coming from Jamie Baker from JPMorgan. Your line is live.
Jamie Baker : Hi, good morning everyone. Glen, does the booking curve for Premium differ meaningfully from that of Main Cabin?
Glen Hauenstein : Not significantly.
Jamie Baker : Okay. Perfect. And look, most of my RASM and CASM questions have been addressed, but I do have a question for Ed. Obviously, there have been a lot of new hires post-COVID, that put some strain on operations in the past. And so for some portion of your workforce this is going to be their first crisis or downturn or bump in the road, however you want to characterize it. Does that change how you personally Ed, think about managing the business day-to-day. I'm just trying to think through the implication of lower profit sharing this year relative to last year, whether that feeds through to operations or customer service or anything like that? And any thoughts on how you might be managing the workforce differently?
Ed Bastian: That's an interesting question, Jamie. I don't think so. I mean, obviously, we will take action. We're not planning on any involuntary actions at all at this point. But I think we have enough tools and levers in terms of manpower planning and schedule flexibility and opportunities as we demonstrated during COVID, to get meaningful cost out in a relatively short basis using voluntary measures. A lot of the new hires that you referred to that joined us on the front lines actually came from the industry from other airlines because they always wanted to get to Delta. So these are people that do appreciate that this industry can get and bump into turbulence. I can tell you virtually every time I speak with our frontline teams, and that's probably just about every day. I always remind them that while we may be doing well, this is a very humbling industry. And all we know is what we can see for the moment, and we always have to be prepared to make change. And when change happens, that's the opportunity for Delta to differentiate itself. So, I don't look forward to this opportunity, but I'm confident the Delta team will rise to the occasion.
Jamie Baker : Thank you very much, Ed, for fielding a question that was admittedly a bit from left field. I appreciate it. Thank you.
Ed Bastian : I'd expect nothing different.
Operator: Your next question is coming from Brandon Oglenski from Barclays. Your line is live.
Brandon Oglenski : Hi, good morning. And thanks for taking the question. So Ed or Glen, I mean, I know this year is different with our self-inflicted liberation tariff wounds here. But if I just rewind the tape for the industry, I feel like the last three years, we've been talking about off-peak weakness and that's through what's been pretty much a growing economy in the past few years. So I guess at what point does the industry say, we really have to restructure the way we look at off-peak? Or is that just too challenging from a cost perspective for a network like yours?
Glen Hauenstein : Well, as you pointed out, the last few years have been about revenue growth for the industry. And one of the things we do when revenue is growing is we build up our off-peak time channels. And so if you look right now, where we sit versus our competitive sit, we are overbuilt, for example, on Tuesdays and Wednesdays versus where we were last year and higher than American or United in the mid-to-upper 90s. We try to do that. So when we hit these environments or hit these air pockets, that becomes our first-line of defense because that is always -- the weaker time channels are always what suffer in terms of profitability first. And so right now, you'll see us go from over-indexed on Tuesdays and Wednesdays to under-indexed on Tuesdays and Wednesdays as we move into the second half of the year to align really where we think capacity -- where demand is going to sit. The other great thing about Tuesdays and Wednesdays is they tend to have very high recapture, so those become the most accretive. And when you think about what do you recapture on a Friday, 5 p.m. flight, versus what do you recapture on Tuesday at 11:00 a.m., it's a very different profile. So we're excited about the ability in this more choppy environment to go after the things that have low margins to begin with and high recapture rates.
Brandon Oglenski : Thank you Glen. And Dan, maybe just one quickly on the fleet, because I think you guys mentioned maybe incremental retirements. Is that correct? And how does that impact your maintenance planning and incremental maintenance spending outlook?
Dan Janki : Yes. I guess two things. Yes, we have talked about incremental retirements. I think in general, we -- last year, it was in the low 20, 21 this year, it will be 30 or above. We said less than 10 net additions. And I think overall on maintenance that we've talked about is that we are in a unique period, that we had a high watermark last year driven by our volume and the opportunity to bring that volume down over a multiyear basis, but also the proficiency of the workforce, the cycle times in the industry, the material availability and challenges that, that drove as it relates to turn times. So when you look at retirements and other items, we'll get additional benefit. When we take out incremental flying, we'll look at that high-cost flying, and there will be an element that has maintenance-related savings associated with it.
Brandon Oglenski: Thank you.
Julie Stewart: Matthew will now go to our final analyst question, Ravi Shanker from Morgan Stanley.
Operator: Certainly. Ravi, your line is live.
Ravi Shanker : Great. Thanks for fitting in here. Maybe just to wrap up the call. If you can take a little bit of a step back here, can you just help us with what the anatomy of a downturn usually looks like? And is it normal to have growth slow to stalled growth and then flip to a decline? Or I'm just trying to get a sense of should we be pleased that like it's not worse than being stalled here? Or is that like pretty normal for an old run?
Ed Bastian : Ravi, having been here for 26 years, I've lived through most of the at least recent history, whether it's 9/11 or recession the period of time we saw during COVID. And they're all different. COVID, as you can remember, was dramatic. It happened overnight and it's spread quickly, and it affected every part of our business. And one of the things that this team is quite good at is managing those positions of challenge. I've said oftentimes somewhat ingest that as airline managers were excellent in dealing with adversity, managing prosperities tends to be a problem for us sometimes. But we're good when trouble hits, and we are because we know where the levers are. We know what the actions to take, we close ranks quickly, and we may change. This right now, it's hard to know how this is going to play out, given that this is somewhat self-imposed. And I'm hopeful that that sanity will prevail and we'll move through this period of time on the global trade front relatively quickly. But we're prepared in any event to make sure that we protect Delta through this.
Ravi Shanker : Understood. And maybe as a follow-up, can you -- sorry if I missed it earlier, but can you remind us what percentage of your Transatlantic is European point of origin. And if you see that drop-off in the coming months for noneconomic reasons, kind of how do you consider kind of redirecting that capacity?
Glen Hauenstein : Sure. It is only about 20% of our total Transatlantic revenues. And the rest, of course, is from Rest of World, whether or not it's through the hubs in London, Amsterdam or Paris. And what we've seen in the past is those are -- we're able to resell that, maybe not at the yield that we want, but there is enough demand to the U.S. from the entire world that we can mitigate most of that softness should it occur. To this date, it hasn't occurred. So we'll keep a close eye on that.
Ravi Shanker: Very helpful. Thank you.
Julie Stewart: All right. Thanks, Ravi. That will wrap up the analyst portion of the call, and I'll now turn it over to Tim Mapes to start the media questions.
Tim Mapes : Thank you, Julie. Matthew, while we changed the queue to try to squeeze in a few members of the media questions. Could you please restate just the process for queuing up and one question and one follow-up, please. So we get as many as we can in a few times -- few moments we have here.
Operator: Certainly. And at this time, we'll be conducting a Q&A session for media questions. [Operator Instructions]. Your first question is coming from Mary Schlangenstein from Bloomberg News.
Mary Schlangenstein: Thank you. Good morning. I wanted to see if you could be any more specific on your discussion with Airbus on not paying tariffs on new planes that you're taking this year. Is that sort of a negotiation? Or is that just a flat out delta position that you are not going to move off of. How does that play out?
Ed Bastian : Well, Mary, that only went into effect that tariff this week. So obviously, it is early. We'll work very closely with Airbus, who are great partners, and they understand our perspective. We will -- but our point is pretty clear. I'm not going to -- I don't think I need to elaborate that in any great depth. We hope that this issue will be resolved through the trade discussions as compared to actions that either Delta or Airbus have to take. One thing that I learned I didn't realize is that when you think about our business in terms of export, import balance -- imbalance between U.S. and Europe for the aerospace industry, the U.S. exports 6 times to Europe, the amount of trade that Europe imports into the U.S. That's a really important fact to know and I hope our leaders in Washington are paying attention to that.
Mary Schlangenstein: Great. Thank you. And if I could quickly ask, I believe that you said earlier that you were seeing some decline in International, Leisure in the Main Cabin. Is that correct? And if that is can you put any kind of a number of percentage on that?
Glen Hauenstein : We would say of the international, the Premium is outperforming Main Cabin and we have not put a number on that nor would we want to do that.
Mary Schlangenstein: Okay, thank you.
Operator: Thank you. Your next question is coming from Alison Sider from Wall Street Journal. Your line is live.
Alison Sider: Hi, thanks so much. Just a follow-on Mary's question quickly. Are you looking at deferring any deliveries until there is more clarity about the tariff situation or just because of the growth slowdown?
Ed Bastian : We will defer any deliveries that have a tariff on it.
Alison Sider: Got it. Okay. And if I could ask one more, just -- I know the investigation is still ongoing, but I'm curious if there's been anything that's sort of come out that you've learned I guess, after the Toronto incident? Anything that you've re-evaluated in terms of pilot training or your regional operations?
Peter Carter: Hi, Alison, it's Peter Carter. So that investigation is ongoing. And I think you know we don't comment on ongoing investigations until the final reports come out.
Alison Sider : Thank you.
Tim Mapes : Thanks, Ally. Matthew, if we could get one more in, maybe Leslie, we'll try to cut this right at 11:00, please.
Operator: Absolutely. Your last question is coming from Leslie Joseph from CNBC. Your line is live.
Leslie Josephs: Hi, thanks for taking my question. Back in November, you have said that the incoming Trump administration was likely going to be kind of a breadth of fresh here. compared with the prior and that was regarding some of the consumer regulations that the Biden administration put in. Have you had any response from the Trump administration on reversing any of those rules?
Peter Carter: Yeah. This is Peter again. So in fact, the Trump administration has issued an order that in essence is freezing many of those proposed regulations. And so we are hopeful that many of those end up being put aside for the long-term.
Tim Mapes : Thank you, Leslie. Matthew, that will conclude our session today. Thank you, if you want to conclude the call.
Operator: Thank you. And that concludes today's conference call. Thank you everyone for your participation today.